Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Korn Ferry Third Quarter Fiscal Year 2022 Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. We have also made available in the Investor Relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to the investors. Certain statements made in the call today such as those relating to future performance, plans and goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties, which are beyond the company’s control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic and other reports filed by the company with the SEC, including the company’s annual report for fiscal year 2021 and in the company’s soon to be filed quarterly report for the quarter ending January 31, 2022. Also, some of the comments today may reference non-GAAP financial measures such as constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure is contained in the financial presentation and earnings release relating to this call, both of which are posted in the Investor Relations section of the company’s website at www.kornferry.com. With that, I’ll turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Thank you, Carolyn. First, on a somber note, as we look at the events over the last couple of weeks, our thoughts, Korn Ferry’s thoughts, are with the people of Ukraine and everyone who’s been impacted by the destruction, the devastation and the loss of thousands of lives. So our prayers go out to all of those who were impacted by this unnecessary war and by the human misery that’s taking place. Turning from that, on an entirely different view, I am pleased with our results during the third quarter. We once again achieved new financial performance highs. We generated about $681 million in fee revenue, that was up 43% year-over-year. Our diluted and adjusted diluted EPS was $1.54 and $1.59, respectively, and those were also new highs. Our performance over the recent quarters is a reflection of the relevance of our strategy and solutions, the resilience of our colleagues and more importantly, the connection with our Korn Ferry brand. We’re replicating and scaling our success and continuing to lead innovation at the intersection of talent and strategy in an increasingly digitally enabled new world of work. The metrics of our business are very good. It’s hard to believe that it was 2 years ago, almost to the day that the pandemic was declared. And those were certainly uncertain times. And now again, we face ourselves with uncertain times. But when we think about the power of the firm, the breadth of what we offer and particularly the sacrifices made by our colleagues over the last couple of years, it affirms what this company is all about. We’ve accelerated from that uncertainty. We’re now up 32% compared to the quarter preceding the pandemic, which at that time was an all-time high, and we haven’t just talked about it we’ve walked it. We walked it from the vast IP we have. We developed over a million professionals a year. We walked it by living our purpose, and we continue to innovate, replicating scale, allowing people and organizations to exceed their potential in this rapidly changing world. Elements of our strategy include driving a top-down go-to-market approach based on our marquee regional accounts, which year-to-date represent about 37% of our portfolio. This not only facilitates growth and enduring partnerships, but is also key to more scalable and durable revenues. For example, on a year-to-date basis, about 28% of our revenue is driven by cross referrals within our firm, up several million dollars sequentially, which demonstrates the effectiveness of our go-to-market strategy. We also believe there’s substantial market opportunity with our talent acquisition and interim businesses, particularly given the acceleration of the nomadic labor market. And looking at our digital and consulting businesses, we’ll continue to innovate, marrying Korn Ferry’s capabilities with tomorrow’s opportunities from organizational transformation, to sales effectiveness and accelerated revenue growth to M&A and ESG. We’re going to continue to further push to monetize our IP and continue to move more of our digital business to a subscription offering. And we’re also going to scale our learning, development, outsourcing capabilities, LDO, leveraging our Korn Ferry Advance platform. 150,000 professionals around the world have used advance, both as individuals and as part of their professional development journeys with their employers. And lastly, we’re going to maintain a balanced capital allocation strategy. including a disciplined approach to M&A. With that, I’m joined by Gregg Kvochak and Bob Rozek. And Bob, I’ll turn it over to you.
Bob Rozek: Great. Thanks, Gary, and good morning, good afternoon, depending on where you are. A couple of weeks ago, I celebrated my 10-year anniversary at Korn Ferry. Looking back to when I started, I really believe that there were great opportunities ahead for us. And as I stand here today, after 10 years, looking at the business we built, the data, the assets, the solutions and most of all, the incredibly talented colleagues we have to serve our clients, it’s pretty clear to me that I underestimated our true potential. The investments we’ve made in IP, people, data and processes have enabled us to thrive in today’s environment and more importantly, have positioned us for future growth. Our operational execution continues to drive consistent and superior financial performance. I’ve always said the best way to measure performance is by looking at results. Now you heard Gary say that we continue with strong financial performance in the third quarter, delivering new highs in our fee revenue and adjusted diluted earnings per share. This is a direct result of the exceptional execution of our strategy and the growing relevance of our solutions. You also heard Gary talk about our go-to-market success with our marquee and regional accounts and the cross line of business, top line synergies we’re able to generate with our highly complementary portfolio of services and solutions. I look at the growing relevance of our consulting services and solutions around major issues or what we refer to as mega trends that companies are wrestling with today, whether it’s ESG, diversity, equity and inclusion, accelerating revenue growth in a post-pandemic world or developing professionals and leaders to operate in the evolving digital world. You can also look at our digital business, which, as you’ll hear from Gregg in his prepared remarks, really continues to expand the monetization of our data through increasing levels of license and subscription new business was really, really great potential for further expansion as we enter new sales channel partnerships with major technology companies. All of this leaves us uniquely positioned. In fact, the only company able to meet the entire spectrum of human capital needs of companies across the globe, and we are well positioned to continue to gain market share in the markets that we serve. Now let me turn to the third quarter. Fee revenue, as Gary indicated, was $681 million. That’s up $205 million or 43% year-over-year. Normally, with the year-end holidays, our third quarter has historically been our seasonal low. However, in the current year, fee revenue was actually up $41 million or 6% sequentially. By line of business, fee revenue growth for Executive Search was up 42% year-over-year, while RPO and Professional Search was up 98%. Year-over-year growth for consulting and digital was also very strong at 20% and 19%, respectively. Earnings also grew to new highs in the quarter. Adjusted EBITDA grew $42 million or 43% year-over-year to $138 million with an adjusted EBITDA margin of 20.3%. Our earnings and profitability continue to benefit from both higher consultant and execution staff productivity as well as lower G&A spend. Today, our earnings and profitability have never been higher. If you go back and you look at the first three quarters of fiscal 2020, it’s right before the pandemic recession hit. Our adjusted EBITDA is up 71% and it’s actually grown 2.5 times faster than our fee revenue has grown. Our adjusted fully diluted earnings per share also advanced to a new high in the quarter, improving to $1.59 per share, which was actually up $0.64 year-over-year. New business was also very strong in the third quarter, up 30% year-over-year, reaching a new quarterly high. If you look at it by month, the consolidated new business, we saw a real sharp rebound in January from a seasonal low in December. We saw solid new business growth in every line of business. Of particular note, growth in our RPO new business was very strong at $135 million of new contract awards, and that’s the second consecutive quarter they achieved that level. Our investable cash position remains strong. At the end of the third quarter, cash and marketable securities totaled about $1.1 billion. Now if you exclude amounts reserved for deferred compensation arrangements and accrued bonuses, our global investable cash balance was approximately $592 million, which is up $58 million or 11% year-over-year. I would note that the investable cash position is net of $91 million that we used to acquire the Lucas Group on November 1 and about $22 million for share repurchases in the quarter. As Gary mentioned, we continue to take a balanced approach to allocating capital. In addition to investing in M&A and hiring of additional fee earners and execution staff, we have repurchased approximately $55 million worth of our stock and have paid cash dividends of approximately $20 million so far in fiscal year 2022. With that, I’ll turn the call over to Greg to review our lines of business in more detail. Gregg Kvochak Thanks, Bob. I’m going to start with KF Digital. Global fee revenue for KF Digital was $90.2 million in the third quarter, which was up 19% year-over-year. Additionally, the subscription and licensing component of KF Digital fee revenue grew to $29 million in the third quarter, which was up 26% year-over-year and up 12% sequentially. Globally, new business for KF Digital in the third quarter grew 8% year-over-year to $108 million, which was the fifth consecutive quarter over $100 million. $39 million or 37% of the total digital new business in the third quarter was related to subscription and license sales. Earnings and profitability remained strong with adjusted EBITDA of $28.1 million and a 31.2% adjusted EBITDA margin. Now turning to Consulting. In the third quarter, Consulting generated $162.9 million of fee revenue, which was up approximately $27 million or 20% year-over-year. Fee revenue growth continued to be broad-based across all solution areas and strong regionally in North America and EMEA, which were up 28% and 16%, respectively. Consulting new business also reached a new high in the third quarter, growing approximately 10% year-over-year. Regionally, new business growth in the third quarter was strongest in North America and EMEA, which were up 10% and 16%, respectively. Adjusted EBITDA for Consulting in the third quarter was $28.6 million with an adjusted EBITDA margin of 17.5%. The growth trend for RPO and Professional Search remained strong in the third quarter, driven by the surge in demand for top skill professionals. Globally, fee revenue grew to $188.6 million, which was up 98% year-over-year and up approximately $38 million or 25% sequentially. The RPO fee revenue grew approximately 68% year-over-year and 3% sequentially, while Professional Search revenue was up approximately 150% year-over-year, and up 67% sequentially. The integration of the Lucas Group has gone well. Revenue in the third quarter for the Lucas Group was approximately $33 million, which was up approximately 10% compared to the revenue for the three months preceding the acquisition. New business wins for both RPO and Professional Search were also strong in the third quarter, reaching new highs. Professional Search new business was $93 million and RPO was awarded $135 million of new contracts, consisting of $74 million of renewals and extensions and $61 million of new logo work. Adjusted EBITDA for RPO and Professional Search continue to scale with revenue improving to $44.1 million with an adjusted EBITDA margin of 23.4%. Finally, in the third quarter, global fee revenue for Executive Search reached another new high of $239 million, which was up 42% year-over-year. Growth was also broad-based with North America growing 44% year-over-year and EMEA and APAC growing 32% and 45%, respectively. Market demand in international regions continued to improve in the third quarter with core sequential growth accelerating in EMEA, APAC and Latin America. We continue to invest in expanding our team of consultants in the third quarter. The total number of dedicated Executive Search consultants worldwide at the end of the third quarter was 581, just up 59% year-over-year and up 11% sequentially. Annualized fee revenue production per consultant in the third quarter remained steady at $1.66 million. And the number of new search assignments opened worldwide in the third quarter was up 37% year-over-year to 1,787. In the third quarter, Global Executive Search adjusted EBITDA grew approximately $66 million, which was up 24 – grew to approximately $66 million, which was up $24 million year-over-year with an adjusted EBITDA margin of 27.5%. Now I’ll turn the call back over to Bob to discuss our outlook for the fourth quarter of fiscal 2022.
Bob Rozek: Great. Thanks, Greg. As previously discussed, our consolidated new business grew to a new high in the third quarter, again, with real strength across all lines of business. Backlog exiting the third quarter was strong as was February new business. February generally is the shortest month in the year in terms of working days. However, this February was actually our eighth best new business month ever excluding RPO. And if you include RPO, it was actually our best new business month ever. Now despite the continuing strength in new business trends and backlog coming out of Q3, the very recent situation in Eastern Europe presents a level of risk and uncertainty that is difficult to quantify. With this in mind and assuming no new major pandemic-related lockdowns or further changes in worldwide geopolitical conditions, economic conditions, financial markets or foreign exchange rates, we expect our consolidated fee revenue in the fourth quarter to range from $670 million to $690 million and our consolidated adjusted diluted earnings per share to range from $1.49 to $1.63 per share and our GAAP diluted earnings per share to range from $1.44 per share to $1.60. Let me end as I started. As I look ahead for all the reasons previously discussed, I’m more optimistic now than I have ever been about our long-term opportunity to continue to build on our financial success. Our company today has more durable revenue streams, has achieved a new level of business activity and profitability that is sustainable and has positioned us for continued growth. And we have a core set of integrated solutions that are highly relevant to the mega trends that we’re seeing in the world today. Korn Ferry has never been better positioned to serve all of its constituencies, colleagues, clients, candidates and shareholders for years to come. With that, we’ll conclude our remarks and be glad to answer any questions you may have.
Operator: [Operator Instructions] Our first question is from Tobey Sommer from Truist Securities. Your line is open. Please go ahead.
Tobey Sommer: Thanks. I wanted to ask you the business and the recruiting market have just surged so much over the last six, seven quarters, kind of everybody is at all-time highs, usually surpassing 2019. How do we think about growth from here and not specifically in the April quarter, but even some sort of medium-term vision. I don’t expect you to necessarily answer in dollars, but any of sort of the inputs that drive growth, productivity, headcount? Any kind of way you could help frame that so that we can put together an intelligent model would be helpful.
Gary Burnison: Okay. Well, Tobey, it’s good to hear your voice. I think that barring inflation, which we put aside for a second, this is a – it’s an incredibly nomadic labor market. When you look at the labor participation rate, it’s pretty much what it was right before the pandemic. I mean maybe it’s one million people short. But it’s per search, it’s pretty close. But when you look at the number of people that have left the labor market, it’s millions of people. Maybe it’s not as high as 10 million people, but it’s a significant number. Then you’ve got all the changes that have happened during the pandemic around how you work, when you work, where you work, efficiency and the like. And I think there is, in the near term, a scarcity of talent. And so I would expect, again, barring the impact of inflation that there’s going to continue to be this war for talent. And so I would think that the labor market is extremely tight, which is good for our business. Then when you look at our consulting business and all the trends around the work scape today, I think that’s another positive.
Tobey Sommer: Thank you. Good to hear your voice too, Gary. And then kind of a follow-up along the lines that your answer prompted to me. With the sort of structural change to work from anywhere and the way employers have to open their aperture and adapt to be flexible in that regard. What are the implications for pricing across your businesses? And I don’t know if you could actually address it by line of business, but Executive Search, Professional Search, RPO. What does that mean to sort of unit-based economics for your business?
Gary Burnison: Well, we have increased our pricing over the last few months. Now that will take some time to bleed in because of longer-term contracts, MSA agreements and the like. But we certainly, we made that move probably five or six months ago. When you look at the – from a line of business perspective, clearly, what you’re saying in our talent acquisition businesses, particularly Executive Search and Professional Search is the impact of wage inflation. And you will see that the average fee, the average fees in both those businesses has gone up double digit over the last, call it, 12 months to 15 months. And so again, hard to predict, but I would think there’s going to continue to be wage pressure there. And that, coupled with the scarcity of talent, is very, very positive for the business. When you look at what’s actually happening today around culture, around how people get worked on, I think it presents an enormous opportunity for us around professional development, what we call LDO, learning, development outsourcing. I think that’s an opportunity for us. On the consulting side, we have, like the other parts of our business, we have raised the pricing. And if you look at our rate per hour, now it’s almost $400. It’s not quite, but you can see that, that has steadily gone up. So I – look, in this environment, I think there is that opportunity. How much it really is, that’s kind of hard to quantify. But I think it has an upward trajectory to it.
Tobey Sommer: Thanks. Last question from me. How are you thinking about margins going forward in the sort of resumption of some business expenses like travel and I say that as someone who’s actually been on the road a little bit recently myself.
Gary Burnison: Yes. And Bob can answer this, maybe and put a little bit more definition around it. I think that the big question is inflation. I think that’s actually more germane than even travel. And that’s hard to predict where that’s going to go and what the Fed really does and oil where it is today. So, I think that, that is probably the biggest question. I think when it comes to how people get work done, that’s forever changed. And I would – when this thing broke out two years ago, I said that whatever we were doing before, how we consume? How we’re entertained? How we produce? How we travel for business? It’s going to be kind of 50% of what it was. I even think it’s probably a greater change than 50%. And I’ll give you an example. I was interviewing a young professional, college grad, second full-time job, mid-20s. And this person last week was really bragging around their "office culture". Well, the truth is that none of them actually go into the office. But yet, he was really hyping up the office culture. ***27*** ***27-End*** was really bragging around their "office culture". Well, the truth is that none of them actually go into the office. But yet, he was really hyping up the office culture. And it’s an entirely different perspective today than when I entered the workforce. So I think that change is pretty profound. Now in terms of margins, Bob, maybe you could comment on that.
Bob Rozek: Sure. Thank you. Hey Toby, I think on the last earnings call talked about where we saw margins settling from a long-term perspective as this kind of 18%, 19% range. We still feel that that’s the range that we’ll settle into. We reduced our real estate footprint by about a little over 20%. If you remember, we took a charge in Q2 for that. And then we still have probably another four percentage points of reduction, but that will happen as leases come to their natural term over time couple of years before that works its way through. I think on the BD and travel side, that’s the one area that we’re watching very, very closely. If you remember before the pandemic, we were spending $11 million or $12 million a quarter on that year-to-date. We’re probably averaging in the, say, $2 million, $2.5 million a quarter range. I expect that, that will increase. I think it will probably end up somewhere between the midpoint of zero and the 11% to 12% that we were at over the long haul. But we’ve got that factored into our long-term views of where the margin is. And then the last piece is, obviously, we manage our headcount closely. And so as new business comes in, we need resources to deliver it, we’ll bring people on board. And to the extent there would be any slowdown, we would just moderate that hiring to accommodate the slowdown in business. And so we feel pretty good about the 18% to 19%.
Unidentified Analyst: Thank you.
Operator: Our next question comes from the line of George Tong from Goldman Sachs. Your line is open. Please go ahead.
George Tong: Hi, thanks. Good morning. Can you talk a bit about the sensitivity of each of your lines of business to macro conditions, which, of course, are currently evolving?
Gary Burnison: Well, the big elephant in the room is obviously what’s happening in Ukraine. And so that has an impact on our business in the Ukraine and Russia. It’s the Ukraine business for us was probably about $1 million. The Russian business was $8 million. Those essentially have gone to zero over line. Now we haven’t seen a knock-on effect for – in other countries or other companies. We haven’t seen that to date. March new business is starting out actually ahead of where February was. Of course, it’s very early a month, and that does not make a trend but it certainly is not negative, if anything, it’s neutral to positive. I think the biggest, and I touched on this, I think the biggest macro trend is really inflation. And where does that really settle into over the next 12 to 18 months and what these central banks – what is their stance towards inflation. I think that’s probably the biggest factor.
George Tong: Got it. And maybe sticking to the topic of inflation. Can you talk a bit about pricing, not just where pricing is increasing today, but how much do you expect pricing to increase looking ahead? And how that aligns with wage inflation that you’re seeing among your recruiters internally?
Gary Burnison: Well, we have a big comp and benefits advisory in digital business. In our most recent survey that we did of companies around the world, what you would find is that the companies are expecting about 5% wage pressure. Now that varies by country. And certainly, our intuition on top of the data would absolutely support that. So I think if you look at the recruiting businesses, 1 would expect that there’s going to continue to be pressure resulting from this nomadic labor market, the scarcity of talent. Now how much that is, George, it’s very hard to quantify because we don’t know what central banks’ posture is going to be. But as I indicated, we have over the past few months increased our pricing. And not just because of the macro environment, but because of what our view of the impact that we have on companies. And so we’ll have to see where that goes.
George Tong: Got it. Thank you.
Operator: Our next question comes from the line of Mark Marcon from Baird. Your line is open. Please go ahead.
Mark Marcon: Hey, hello everybody and thanks for taking my question and congratulations on a strong quarter and a strong year-to-date performance. Just going to the elephant in the room, Gary. Obviously, it’s early and everything is occurring real time. How do you think clients would – are going to react? And how would you differentiate that in terms of regions. I would imagine EMEA would be the most impacted area, but how – what’s your sense just in terms of in your conversations with your consultants and with clients.
Gary Burnison: Well, right now, it seems to be – other than Russia and Ukraine, it seems to be cautious, but people are still moving forward and making decisions. So I would say that that’s probably the view. Part of that, I think, is dependent on if you go to EMEA, what exactly – how far does the EU go in terms of would they cut off natural gas or oil from Russia. That’s a big question. And not to say that was to happen, but if that was to happen, I think there’s definitely a pretty huge impact on EMEA. So Asia, we haven’t really seen much. We had Chinese New Year here in February, but we really haven’t seen as much as we have, say, in EMEA, around people uniting around atrocity. And here in the United States, the same view. Of course, it’s not closer to home.
Mark Marcon: Great. And so it sounds like you’re not seeing any cancellations of confirmations or any freezes yet or anything along those lines?
Gary Burnison: No.
Mark Marcon: You did a great job during COVID in terms of managing expenses and being able to adjust quickly and preserving the earnings power and also the future potential. Do you feel like you have the same level of flexibility as what you were able to exercise during COVID, if something were to occur?
Gary Burnison: Yes. Absolutely. Yes, there’s no question about that. I think great companies make their best moves in uncertain times. I think we’ve got a track record of that. We clearly have contingency plans. If that were to happen, we put contingency plans in place over the last few weeks in Eastern Europe, helping our colleagues that have been impacted by this. So yes, absolutely, Mark.
Mark Marcon: Great. And then with regards to inflation, you mentioned that several times, it’s also mentioned in the release multiple times. What are you seeing – just in terms of your own personnel. And then in the context of the way that you were mentioning it, how are you thinking about the range of possibilities? There’s obviously all sorts of different projections with regards to what central banks may end up doing both in the U.S. as well as the ECB and BOV [ph] in terms of what they may end up doing, but how are you thinking about the potential range of those impacts?
Gary Burnison: Well, on the one hand, it’s the – you’re going to volckerize Paul Volcker. Are you going to – are we going to go back to the 70s where we crank up rates to 18% or 19%, that’s really hard for me to imagine that we’re going to get back to that stance politically. I just – that seems pretty far out there. So I don’t see that. And my own view would be that the fair list is going to have to back off a little bit what they were talking about. But in our – just take our own company, we’ve – for eligible employees trailing 12 months, we’ve raised salaries about 12% or so. If you run that across the entire population, it’s probably more like 8% or 9%. And I think at some point for companies if there is this – forget oil, I mean you could have a debate on whether somebody could afford gas or groceries. But I think the bigger thing is around wages. And that’s a question that if that were to continue, at some point, companies are not able to pass that on to consumers which does impact earnings. So that’s – I think that’s the fundamental question here.
Mark Marcon: Got it. And then what are you seeing just in terms of your ability to recruit. Obviously, you’ve distinguished yourself in terms of range of services, the marquee programs going well. What are you seeing just in terms of your ability to recruit? And particularly, like when we think about like areas that you’ve targeted for growth like digital. When we take a look at the consultant count there, how should we think about that?
Gary Burnison: In the digital area, the thing that’s exciting is that we have made up purposeful effort to expand our ecosystem and to work with partners to help drive that. Now that’s not going to be next quarter. But that’s been a major pivot for us over the last, call it, six to nine months where we’re partnering with at least a couple of companies to have a broader platform to distribute the IP, that could be very meaningful for Korn Ferry. In the digital business, we’re also going to have to continue to increase our own commercial capabilities, our own commercial sales force. So we’ll do that. We’re still all out in finding consultants, fee earners, partners, principles. We very rarely dial that back. So we’re being very aggressive there. And I think that people are attracted to the platform. I mean we are, I think, at the intersection of what matters most, and that’s strategy and organization and its talent. So we’re continuing to recruit. We’re recruiting account leaders into the organization. So we’re still moving forward with that.
Mark Marcon: Great. And then last question for me is it sounds like the Lucas Group is going really well. How does that make you feel about future acquisitions in professional recruitment? Are you feeling about that area and what you’ve seen thus far?
Gary Burnison: It makes it feel really good. Today, it’s a round up here. It’s a $400 million business. The interim piece of that today is probably 60 or 70. And so I think we’ve got not only the opportunity around professional search, but also the interim business given this nomadic labor market, we’re going to continue to make investments there. And I think that the – it’s not just a question of entering another talent acquisition market of Professional Search but it actually plays to the broader theme that we’re really trying to build out is around developing professionals. And today, we develop over 1 million professionals a year. And so the play there isn’t strictly let’s increase talent acquisition, but let’s also get into a market that could lead to learning journeys, career development, that plays into the digital businesses. We look at the digital business today, it’s – there’s a couple really big areas we’re trying to make a push on. One is sales transformation. And that, if you look at this last quarter, it’s probably 17%, 18% of new business. There’s 15 million sales professionals in the United States alone. That’s going through enormous change. We’ve got fantastic IP around how salespeople can prioritize strategically opportunities. We can couple that with coaching, we decouple it with our developmental IP that we have. So that’s one. And then the second one is around professional development. So the leadership development for the organization overall is about 10%, 11% of revenue. Historically, that’s been at the high end of the workscape. And we think we can actually through the digital business, we’re making a big push there around professional development, below, say, the CEO level.
Mark Marcon: Great. Thank you very much.
Operator: Our next question comes from the line of Marc Riddick from Sidoti. Your line is open. Please go ahead.
Marc Riddick: Good afternoon. What do you see here in the east coast anyway?
Gary Burnison: Hey, Marc. Good afternoon.
Marc Riddick: I was wondering if you could spend some time talking about if you’re seeing much differentiation with end customer markets between various industry verticals as to maybe how far along they are in addressing the – as you described it on the call, the nomadic realities of the business. And I was wondering if you could sort of discuss maybe some opportunities that maybe some industry verticals may be a little further along in taking advantage of as opposed to others.
Gary Burnison: Well, it ranges. I really do believe that we’re in for more change over the next couple of years. Clearly, we’ve seen a great deal of change over the last two years. But I think we’re in for a lot of change over the next two years in terms of how people get work done. And that should bode well for our firm. It’s hard to say if there’s one particular industry that’s ahead of others. Some are more have to be on the front line in terms of how they deliver products or services to consumers. So it’s hard to pinpoint one. I would say that the – clearly, the push around ESG is real. And if you look at what’s happened over the last couple of weeks, not that, that will solve today’s crisis, but it will create tomorrow’s opportunity. And so I do believe that, that push of sustainability, and we’ve got a broad-based solution anchored around that. I think that’s real. Whether that’s – it could be – our energy business is only 4% of the company’s top line. But clearly, we’re seeing a lot of movement around there – around how they reskill, upskill, create a green business. So that should gain even further momentum over the next few quarters and years.
Marc Riddick: Great. And then just a quick follow-up. I was wondering if you could talk a little bit about the recurring revenue and subscription revenue that as far as specifically to price increases around those types of services, whether or not you’re seeing much in the way of – it doesn’t seem as though there’s much pushback. But I was wondering if you could sort of give a bit of an update on thoughts as to maybe what you’re seeing as to those types of services that – whether people are sort of rethinking how they utilize that? Or is that an opportunity to sort of expand. Thank you.
Gary Burnison: Well, let me make a couple of comments and Bob, you can add to it. I mean as you know, we’ve made a push to drive the digital business more and more through subscription. And so this quarter, in terms of new business, it was almost 40% of new business. Now that is substantially different than, say, two or three years ago, where we were not pushing that as much. And so you’ve got a different revenue recognition policy that’s happening as a result of that subscription business. So subscription business was $100 million. I think one of the things and I mentioned that we’re excited about is using an ecosystem to drive that business, not only through our own commercial sales and consulting teams, which we’re going to continue to do because the digital business drives consulting and the consulting business drives digital. There’s definitely pull through. But part of the answer to your question is also around the partners that we are doing business with and trying to embed our IP into their technology platforms that can, over the long term, drive that business. Now how we price that subscription business is similar to other SaaS models. It’s a license basis per seat basis. So I can’t say that there – we’ve seen that kind of an uptick in pricing that we’ve seen in the talent acquisition businesses. It’s not as direct, whereas in search, Professional Search, Executive Search, you can see that, you can see the wage pressure. But I think as we if we put anchors down – we put anchors down around sales transformation, and we put anchors down around professional development and we could get both of those to 60%, 65% of the offering there. We have just tremendous IP. And that’s a real opportunity for Korn Ferry.
Bob Rozek: Yes. Gary, the only thing I would add to that is the – you talk about the – how tremendous IP is. One of the very large tech companies that were – we have a partnership with now who kind of specializes in sales and customer relationship management actually uses our IP with their sales force.
Marc Riddick: Thank you very much.
Operator: Next, we have a follow-up question from Tobey Sommer from Truist Securities. Your line is open. Please go ahead.
Tobey Sommer: Thanks. The question I wanted to ask is just to dig into your comments and kind of tone on inflation. I think investors might assume that wage inflation, in particular, on average, been good for the business and could be constructive on a go-forward basis as well. But you kind of struck a cautious tone so there may be other impacts. Could you dig into that a little bit more for me?
Gary Burnison: Well, look, it is – overall, I think if you look at the nomadic labor market and the change that’s happening around how work gets done and you go to various things from organizational transformation to ESG to D&I., all of those are an extreme positive. And I think on Korn Ferry’s business, we’ve been able and we will manage any kind of wage pressure. And Bob alluded to that around how we tightly manage the business, and we’ve got a track record of actually accelerating through an economic turn. So I don’t think anybody should take my comments and say, okay, Gary is negative on what Korn Ferry can do. But the reality is when you start seeing gas at $7 a gallon, which it almost is in Los Angeles, it does impact consumers. And the big unknown is ECB and other federal, what exactly is going to be their policy. And I just believe, I’m not an economist, but I think that they’re going to have to back down. I just don’t see the political will, particularly what’s going on. This tragedy – I mean what’s unfolding in Ukraine, I just don’t – I think they’re going to have to back off. So I don’t think you should read it as cautionary, but it is a macro factor that is out there for any company in the world. Carolyn, did we lose Toby?
Operator: He’s still in the queue or he may be on mute at this time and we did lose him just now.
Gary Burnison: Carolyn, any other questions?
Operator: It appears we have no further questions, Mr. Burnison.
Gary Burnison: Okay. Listen, thank you very, very much. And on the one hand, very, very excited about where the firm is and what we’ve achieved and what this company can be in our purpose. And on the other hand, our hearts and prayers do go out to the devastation and the loss of life that we’re seeing in Eastern Europe. So with that, thank you very much for your time, and we look forward to speaking to you soon. Thank you, Carolyn.
Operator: Thank you. And ladies and gentlemen, this conference call will be available for replay for one week starting today at 3:00 p.m. Eastern, running through the day, March 15 and ending at midnight. You may access the AT&T Executive playback service by dialing (866) 207-1041 and entering the access code 2674495. International participants may dial (402) 970-0847. Additionally, the replay will be available for playback at the company’s website, www.kornferry.com in the Investor Relations section. That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Services. You may now disconnect.